Operator: Welcome to BW LPG’s First Quarter 2022 Financial Results presentation. Bringing you through the presentation today are CEO, Anders Onarheim; CFO, Elaine Ong; EVP Commercial, Niels Rigault; and EVP Technical and Operations, Pontus Berg. We are pleased to answer questions at the end of the presentation. Should you have any, please type them into the chat box in your Zoom panel. You may also use the raised hand option. Before begin, we wish to highlight legal disclaimers shown in the current slide. This presentation held on Zoom is also recorded. I’ll now turn the call over to BW LPG’s CEO, Anders Onarheim.
Anders Onarheim: Thank you, Lisa and welcome to our first quarter results presentation for the financial period ended 31st of March 2022. As Lisa said, I’m joined here by Elaine, Niels and Pontus. If we go to Slide 3, we drove with a good level activity in the VLGC market demonstrating the importance of our business in a context marked by global, geopolitical, and economic uncertainties. I also want to take the opportunity to congratulate colleagues on the completion of our ambitious LPG retrofitting program. I’d also like to thank all our partners and suppliers for their support. It’s been a long journey from contract signing in 2018 to re-delivering our 15 retrofitted VLGC earlier this month. And even with complications from COVID related restrictions, where our site teams spent an equivalent of one and a half years in quarantine, the team managed to complete the program ahead of schedule and within budget and with zero major safety incidents. We now own and operate the world’s only fleet of retrofitted LPG powered vessels and the world’s largest fleet to be powered by LPG. This is a part of our strategy for smarter shipping. We decarbonized operations, delivered strong financial performance, and invested in innovation and technology. Let me quickly then talk about the key business highlights and market outlook. Please turn to Slide 4. In the first quarter we reported $36,900 per day per for our VLGC fleet per calendar day with 9% technical off hire. This was primarily due to the retrofitting. Commercially we achieved strong TCE of $40,400 per day available day with the high commercial utilization of 96%. We generated a net profit after tax of $58 million and this translates into earnings per share of $0.41. Moving on to the highlights for the quarter, we now report the highest available liquidity to date at $651 million and a record low net leverage ratio of 25%. And today we want you to leave with key messages. Firstly, we now have more optimistic view of 2023. Secondly, as mentioned, our leverage ratio is at records low levels. And thirdly, our dividend policy is updated to target a 75% dividend payout ratio with net leverage at below 30% continued on a quarterly basis going forward. Our more optimistic outlook is driven by higher energy prices and growing political support for LPG as transition fuel and an energy source. We believe the market fundamentals in 2023 are supported despite uncertainties from having newbuilding delivery schedule. Niels will talk more about this later. For this quarter with net leverage of 25%, we will return to shareholders a dividend payout that is 75% of NPAT or $0.31 per share. This amounts to a total of $43 million. Now continuing our focus on generating returns for our shareholders, we have sold the BW Liberty in the second quarter at a very attractive price. We currently have no CapEx commitments other than just regular maintenance, but we still continue to evaluate investment opportunities along the LPG value chains. Like with the LPG retrofit program, there are opportunities that are smarter, less capital intensive, and allow us to further strengthen our position in the LPG value chain without ordering new vessels. LPG is clearly a part of the solution towards sustainable future and as a member of the broader LPG industry we must continue to communicate this strongly. On that note, we’re also honored to be selected to form part of the OBX ESG index that comprises of 40 blue chip companies listed in Norway that demonstrates good ESG practices. There's no doubt in my mind that LPG is sustainable transition fuel and can power a cleaner energy future. If we go click to Slide 5, the key financials, we generated an annualized return on equity of 16% and with an annualized return on capital employed of 12%. Our operational and free cash flows were $164 million and $249 million respectively for the quarter, maintaining our flexibility, allowing us to evaluate sizeable investment opportunities and enabling us to continue to return cash to our shareholders. With that, I will let Niels take you through the market review and commercial update. Niels?
Niels Rigault: Thank you, Anders. Good morning and afternoon to all of you. On Slide 7, we share our view of the market, and as Anders mentioned, we have upgraded our market outlook for 2023, driven by expected increases in LPG productions following the rapid surge in oil and gas prices. Of course, the order book is a concern; however, our analysis suggests that tightening emissions regulation and increased congestions in the Panama Canal combined with higher LPG production to partly offset the freight pressures from the new vessels. So far in Q2, we have fixed approximately 74% of our available fleet days on an average rate of $36,000 per day on a discharge basis.
aphtha: A good thing about LPG is that you don't need expensive infrastructure investments compared to all the gases such as LNG. It is practical and give cost competitive solutions to provide energy safety, to both established and developing markets. Almost 50% of the world LPG demand goes into retail. The retail demand is continuing to grow strongly, well supported by progressive governments in emerging economies seeing the benefits from a clean and affordable source of energy.
aphtha: Turn to Slide 9. U.S. is the main driver of global VLGC seaborne trade and it will continue to be. With Europe looking to reduce their dependence on Russian gas, more seaborne LPG will be part of the solution. U.S. sale producers have the capacity and the capability to ramp up production and under today's $100 oil price environments and an industry that is quick to react we expect the LPG production to increase. EIA expects the U.S. LPG export to grow by almost 15% in 2023. And in addition, we also have seen that midstream companies reevaluating or planning for new NGL infrastructure investments. This has certainly given us more confidence in facing the high newbuilding orders next year. Turning to Slide 10, the current VLGC order book holds 65 vessels or 20% of the existing fleet. If we look from percentage perspective, the fleet is expected to grow by 13% next year, while I just mentioned in the last slide, EIA expects the U.S. LPG export to grow by 15% in 2023. We have not even talked about Middle East, which is also progressively adding back production. Our investments in the 15 dual-fuel upgrades is the largest commitment towards decarbonization in the sector. We believe that LPC as a fuel is both clean and economical. Looking at the price between compliant fuel and LPG for 2023, LPG is priced over a hundred dollars cheaper representing a TCE premium of about $4500 per day compared to conventional vessels. We have for the last five years been active to sell our vintage vessels, total 23 ships. For the last 12 months, we have sold 7 VLGC at price of our book values. These transactions have generated a total net gain of $35 million or $0.26 per share for our shareholders. We are now comfortable with our current fleet profile, which will allow us to maneuver through all kinds of market conditions ahead. We have no vessel orders and no immediate plan of ordering vessels, despite a more positive market outlook. Please skip ahead to Slide #13 and I'll talk about our time charter overview. We have fixed 16% of our open days in 2023 at an average TCE of $33,800 per day, mostly are for our BW [ph] in the vessels. We have a good position to capture the strong market ahead, and we will continue to focus on the U.S. the Far East voyages. I'm confident and comfortable with our current portfolio. We have the critical mass, which is the key to optimize the spot earnings and help our clients with today's inefficiencies. That's it from me. Next Pontus Berg will take you through the technical and operations update. Thank you.
Pontus Berg: Thank you very much Niels. Good day everybody. So the year has gone off to a good start for the technical and operations team. As Anders mentioned, we have completed our ambitious project to retrofit 15 VLGCs with LPG dual-fuel technology, and we have done so during what is possibly the most challenging times in recent history. The global, well, possibly more so the local COVID related restrictions and lockdowns, which meant we had 462 days in Chinese quarantine for the site team. We’ve managed to complete this LGIP project ahead of time and within budget. This massive achievement is possible only with an excellent team on site, supported by dedicated shore personnel and external partners. I take this opportunity to thank [indiscernible], DNB, Julien [indiscernible], MENES, WLPGA, and last but not least, our own teams for their support from idea to realization of this pioneering project. With close to 25,000 hours on LPG, we are accumulating some very valuable learnings. Of course, as with all pioneering technology, there are some teething challenges, but our dedicated team is working hard alongside trusted suppliers for solutions. Our in-house technical and operations teams manages complex multimillion dollar projects, such as newbuildings, upgrades, life extensions. In the past decade, the teams have reduced OpEx by over 20% and this while improving safety performance to be best-in-class and reducing technical off hire. Hence we see lower OpEx, less incidents and higher commercial availability. When required we can leverage on colleagues across functions at the larger BW Group. We are ready to support our core shipping business and crude partners with deep experience and expertise from offices that cover all the time zones. Looking ahead, the team will continue to ensure our owned and chartered fleets are managed to market leading operational levels, and that they're all future proof and in compliance with upcoming environmental requirements. Our LPG powered vessels will fully comply with CII and EEXI requirements that will come into force January 2023, meaning we will see no need for power reduction and lower feed for compliance. That is actually the reality for any VLGC that only have a scrubber or rely on compliance fuel. Our entire fleet will benefit from current digitalization and smart voyage routing initiatives to optimize our fuel consumption. Also, our [indiscernible] SMART technology initiative is helping us to monitor our emission performance and we are now piloting its ability to automate data flow for compliance with the IMO organization’s data collection and reporting requirements. We will also continue to explore new technologies as we develop our next generation VLGC. With that short update, let me now turn over to our CFO, Elaine Ong, who will walk you through our financial position and results.
Elaine Ong: Thank you, Pontus, greetings. Let me provide some color on our first quarter financial results. Net profit for the quarter was $58 million with an EBITDA of $93 million. This translates to an EBITDA margin of 72% for the quarter. As at the end of March, our available liquidity of $651 million and net leverage ratio of 25% are our highest and lowest since listing. We are therefore in a solid financial position to withstand any short to medium term volatility and to invest in the right opportunities for future growth.
Niigata during the quarter. As previously announced, we have received the $50 million in new equity from Maas Capital for their investment into our India subsidiary. And just earlier this week, Maas Capital confirmed a further increase in their capital investment. When this transaction is concluded, BW LPG will own 52% in our India subsidiary.:
Our strong cash flow has allowed us to return value to our shareholders in several ways. First, it has allowed us to: And third, we announced our share buyback program in December last year and as of the end of Q1, we have purchased 3.8 million shares amounting to approximately $21 million. We plan to complete the program in due course. Finally, for full year 2022, we expect our operating cash breakeven for our total fleet including our chartered in vessels to be at $21,300 per day. Here on Slide 16 is an update on our financing structure and debt repayment profile. Our gross debt was $843 million, which included $728 million in debt outstanding from our four term loans. The rest relates to lease liabilities arising from the time-charter in vessels under IFRS 16. Our trade finance facilities of $280 million remain unutilized during the quarter. We ended the first quarter with $353 million in cash. This together with $298 million in available revolving credit facilities put our available liquidity at $651 million and a 25% net debt of $490 million. As mentioned earlier, given our strong liquidity, minimal committed CapEx and with no major balloon payments due in the next five years, we have voluntarily prepaid $73 million of debt in April, and we plan to prepay another $195 million in June. These prepayments will be reflected in our second quarter results. With this, we will have eight unencumbered vessels worth over $600 million available for financing when needed. On this note, let me open the floor for questions. Thank you and back to you, Lisa.
Operator: Thank you, Elaine. [Operator Instructions] We have one question from Desmond [ph], BMO.
Unidentified Analyst: Good morning. What is the current net project, Anders?
Anders Onarheim: Elaine, do you want to give that?
Elaine Ong: I don't have the latest number, but if I could just come back to you in a bit, we should be able to get that to you shortly.
Unidentified Analyst: Okay. Can you please, if we have a few questions on the check channel, can you please share some more details around the second transaction with Maas on the India JV how much did they invest and at what valuation? Anders?
Anders Onarheim: Yes. Niels, I’ll let you answer that to the Maas Capital, how much they invested.
Niels Rigault: That's a big question. In total, they have a committed about $18 million in equity.
Anders Onarheim: The guide gives them, a little less than 50% ownership.
Niels Rigault: Yes.
Operator: Next question from Frederik Ness [Skandinaviska Enskilda Banken].
Frederik Ness: To what degree does the war in Ukraine impact LPG-feed markets?
Anders Onarheim: I can start and I’ll let you continue Niels. I think it's impacting us in the way that of course with the increasing oil and gas prices that helps the production and hence also the exports from the U.S. in particular, as Niels said. Russia is not a big export of LPG. So the direct impact is somewhat limited, but again, we clearly see that as Niels said, that LPG is a very flexible and clean alter energy source and so we do see that there is increased demand also in Europe for LPG. So, but direct effect I guess Niels is not that high.
Niels Rigault: No, we have obviously seen much more activity from U.S. to Europe. I mean, I mentioned earlier that's because also, because of naphtha LPG spread has been very positive. But I mean, we also see that the shipping premium market, if you compare Houston to Norway, Europe, it's about 20,000 paying about $20,000 more per day in premium compared to Middle East, Far East. So and for shipping terms, the rates are highest between Europe and U.S.
Anders Onarheim: Also, I think if you come back to the previous question, our NAV or at least the share equity per share is US$10, $10.30 per share, so just about SEK100 per share. Of course, this, we had to make some assumptions on newbuild equivalent, but that's our forecast.
Frederik Ness: Next question, what are the expectations in terms of energy exports?
Anders Onarheim: The expectation for energy export?
Frederik Ness: MEG exports?
Anders Onarheim: Oh Middle East? Yes. I mean, as we have also seen in the presentation, we have seen now that Middle East has been a declining export area while U.S. have grown dramatically. But we clearly see now that the export from the Middle East is growing.
Niels Rigault: Yes. Both Saudi and Kuwait are increasing production also exports.
Anders Onarheim: Yes.
Frederik Ness: Moving on to the next question, will forecast of 4.8% growth in exports require additional export projects online, or is there spare capacity?
Anders Onarheim: You want to take that Niels, or maybe Elaine, do you want to take, answer that?
Niels Rigault: Okay. But I would just say that, they are definitely export capacity in the U.S.
Pontus Berg: Yes. Hello, can you -- you can hear me, right? Yes. I can add some color to that. I think in the U.S. right now, we see ample supply of infrastructure. And we can see that still the terminal rates are still stable indicating that there's good terminal capacity. And we expect even with the higher production out of the U.S., that there should be sufficient, both pipeline fractionation and terminal capacity for to take us at least through 2023 and probably into 2024 and 2025. And just on the, I mean on the Middle East now, I mean our expectation is, as you know, it's been a period of up and down. The demand last in 2020 the export from Middle East was down around 6% and for VLGCs and we expect that now it will grow around 5%, 6%, 7% in 2022 and 2020 [ph], that’s what, similar to what we saw in 2021, and then going forward in 2023, it's also -- should also be around 5%. So it's in this, which for the Middle East, it's a healthy growth, meaning that number of VLGCs occupied in the Middle East from 2021 to 2023, will grow with about 10 VLGCs.
Anders Onarheim: If I can just add, add a little bit more color on the U.S. I think of course we are studying very closely, what's going on in the U.S. And while we see there's clear incentives now to increase production, we also know that from history, shareholders have been very, very adamant about the company is really, really being disciplined in the CapEx. So this, we're watching it closely, but we do see, there is tendency towards again, more aggressive behavior from the producers. So we are quite optimistic about volumes in the U.S.
Frederik Ness: The next question, are you looking at acquisition opportunities given your high cash levels?
Anders Onarheim: I mean, we are always evaluating opportunities. But I think for right now, we feel that, we have interesting prospects. As Niels said, we are looking at both other types of investments, along the value chain and but we are always looking if we can create value by through acquisitions or partnerships, we will continue to evaluate that, but there's nothing concrete to mention now.
Frederik Ness: Next question, can you provide any commentary around the newbuild market? What kind of delivery timelines are being marketed and at what pricing?
Anders Onarheim: Niels, I'll let you take that?
Niels Rigault: Yes. Obviously the yards are quite busy these days and there are three different places where you could order VLGC that's either in China or Korea or Japan, Korea being the larger exporter of VLGCs. But right now, they're quite busy on the containers and LNG and the tanker side. What I understand now, the delivery now for a VLGC, we're talking more second half 2025. As for the prices they are indicating around the low $90 million for VLGC.
Frederik Ness: Thank you. Next question. There are about 15 [ph] VLGCs older than 20 years. How will EEXI and CII impact these older vessels in terms of speed? And do you expect increased scraping as a result of these regulations?
Anders Onarheim: Pontus, this is your favorite subject.
Pontus Berg: Absolutely, thanks Anders. Well, if we look at the really old ones which are high on the fuel consumption, we will expect about two to three knots speed reduction will be required, and that will be achieved by installing something that's called Engine Power Limitation. I don't think anyone has the final number since the actual due date for, well, since the actual expected date for the final calculation methods will not be available until later this summer, because the IMO people are still disputing a little bit, but it is believed that there is a very high likelihood that it will be implemented. And if it entails higher scrapping levels, it is quite likely, but I think this question more comes around what we believe in the market and since there are a lot of LPG coming online, possibly not.
Frederik Ness: Next question, is there a particular target ratio for the share purchases in terms of NAV per share, or is there any market value under NAV acceptable at these debt levels?
Anders Onarheim: We have, that's the discussion we have with the Board continuously, but we are, we generally stay quite disciplined when it comes to at what levels we buy back shares. So, but again, for now we have, we will continue with the program that we have started and but again, we will be disciplined. So we haven't set a specific ratio, but we have our own limits in mind.
Frederik Ness: Next question, will there still be Panama delays, if much of the LNG exports head for Europe and Asia?
Anders Onarheim: Niels, do you want to answer that?
Niels Rigault: Yes. I mean, the LNG towards Europe is additional. So you will still see a lot of LNG. The same thing goes for LPG probably going east and using the Panama Canal. And even though there’s been much more activity from U.S. to Europe, we have seen the Panama Canal delays increasing. Just today back and forth on the Panama Canal, it's about three weeks waiting. So from a voyage Houston, Far East, which normally takes 60 days suddenly, now we're talking about three months round voyage. So yes, we expect more delays in Panama going forward.
Anders Onarheim: I mean, the Far East is still the biggest importer of LNG?
Niels Rigault: Yes.
Frederik Ness: Next question, on newbuilds, can you provide any commentary on a newbuild timeline and marketing?
Anders Onarheim: I'm sorry, I didn't quite understand that question, Lisa, one more time?
Frederik Ness: Yes, one question, one more time once again. Can you provide any commentary around the newbuild market? What kind of delivery timelines are being marketed and at what pricing?
Niels Rigault: Okay. Yes, well I’ll just, we’re talking about 2025, second half 2025 yes. Deliveries and the prices for VLGC today is quoted around $90 million.
Operator: Okay. There are no more questions on the channel. [Operator Instructions]
Anders Onarheim: Okay. I guess Lisa, then I think we should just thank everybody for participating and we will be back with more news as long as we, as soon as we have them. Thank you very much.
Operator: Thank you, Anders. We have come to the end of today's presentation. Thank you for attending BW LPGs first quarter 2022 financial results presentation. More information on BW LPG is available online on our website at bwlpg.com. Have a good day and a good night.